Operator: Hello, everyone and welcome to the Core & Main Q3 2023 Earnings Call. My name is Seb and I’ll be the operator for your call today. [Operator Instructions] I will now hand the floor over to Robyn Bradbury, VP, Finance and Investor Relations. Please go ahead.
Robyn Bradbury: Thank you. Good morning, everyone. This is Robyn Bradbury, Vice President of Finance and Investor Relations for Core & Main. We are excited to have you join us this morning for our fiscal 2023 third quarter earnings call. I am joined today by Steve LeClair, our Chief Executive Officer; and Mark Witkowski, our Chief Financial Officer. Steve will lead today’s call with a business update, followed by an overview of our recent acquisitions and long-term value creation targets. Mark will then discuss our third quarter financial results and full year outlook, followed by a Q&A session. We will conclude with Steve’s closing remarks. We issued our fiscal 2023 third quarter earnings press release this morning and posted a presentation to the Investor Relations section of our website. As a reminder, our press release, presentation and the statements made during this call include forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ from our expectations and projections. Such risks and uncertainties include the factors set forth in our earnings press release and in the filings with the Securities and Exchange Commission. We will also discuss certain non-GAAP financial measures, which we believe are useful in assessing the operating results of our business. A reconciliation of these measures can be found in our earnings press release and in the appendix of our investor presentation. Thank you for your interest in Core & Main. I will now turn the call over to Chief Executive Officer, Steve LeClair.
Steve LeClair: Thanks, Robyn. Good morning, everyone. Thank you for joining us today. If you’re following along with the third quarter investor presentation, I’ll begin on Page 5 with a brief business update. Core & Main delivered another quarter of strong results. Sales in the third quarter were just ahead of the prior year and up 30% from the third quarter of fiscal 2021. Demand from our customers remains resilient, and we continue to execute our organic and inorganic growth initiatives. Municipal repair and replacement activity in the third quarter remained stable on a year-over-year basis. Despite still being below prior year levels, new residential lot development improved sequentially from the second quarter. There continues to be a shortage of existing homes for sale, which is driving a need for new lot development and new home construction. Many national homebuilders have been reporting resilient results by providing incentives such as interest rate buy-downs to ease affordability challenges and attract prospective buyers, which provides tailwinds for our business. We began to see nonresidential volumes stabilize late in the third quarter due to our balanced exposure across various nonresidential project types. We continue to see good growth in highway and street projects, an increasing trend of mega projects across the country, both of which are included in our nonresidential end market and have offset some of the softness in multifamily and warehouse work. Price contribution to net sales was flat for the quarter when compared to the prior year. Most of our products are either highly specialized or made specific for our sector, which provides a resilient pricing framework for our industry, especially when roughly half of the demand for our products and services is non-discretionary in nature. Gross margin in the third quarter was 50 basis points lower than last year as inventory costs continue to catch up with the current market prices. And while we expect to see additional gross margin normalization in the fourth quarter, we have confidence in our ability to offset a portion of it through underlying gains from our margin initiatives. Cash generation is a key strength of our business. We have delivered nearly $1.1 billion of operating cash flow over the last 4 quarters. This cash flow has provided us with significant capacity to reinvest in organic growth, pursue strategic M&A and return capital to shareholders. We opened 2 new greenfields in the third quarter, 1 in Spokane, Washington and another in Fontana, California. These new locations extend our product offerings in underpenetrated markets, building on our commitment to make our products and expertise more accessible in every region we serve. Greenfields are a powerful way for us to expand geographically, and we are well positioned to do so given our scale and talent pool. Each time we had new location, we are adding new sales resources and reducing the average distance and time for us to serve our customers’ orders. This enhances our overall value proposition giving us the opportunity to gain local market share. We have opened 4 greenfields so far this year and will continue to use greenfield as a lever to drive above-market growth in attractive markets going forward. We continue to target attractive M&A opportunities using our disciplined approach, announcing 3 new acquisitions after the quarter. In Virus Cape, Granite Waterworks, and lease supply company. So far this year, we have signed or closed 8 acquisitions with combined annualized net sales of over $330 million. These acquisitions enhance our product offering and help us achieve a leading position in desirable markets. We are committed to our goal of driving 2% to 4% annual net sales growth from M&A each year over the next several years and I will provide more details on our recent acquisitions shortly. Lastly, on capital deployment, we executed one share repurchase transaction during the quarter and another after the quarter deploying nearly $300 million of capital to retire 10 million shares. We have deployed $770 million of capital so far this year to repurchase and retire 30 million shares in total. Our capital allocation strategy is clear. We expect to continue investing in organic growth and margin enhancement, execute on r robust M&A pipeline, to return excess cash back to shareholders through share repurchases or dividends. Now turning to Page 6, I’ll provide an overview of our recent acquisitions. And Viruscape is a leading provider of geosynthetics and erosion control products operating out of one location in Ohio. Since 2003, the team at Enviroscape has established in sales as a trusted partner within the geosynthetics market due to their expertise and reputation for first-class service. Their specialty products complement our existing business, and this opportunity provides additional capacity to expand our geosynthetic reach and capabilities. Granite Waterworks is a leading distributor of pipes, valves and fittings and storm drainage products for contractors and municipalities in Central Minnesota. Since 1990, their experienced team has consistently delivered high-quality products and personalized service to the customers from their Wake Park, Minnesota location. The local relationships and commitment to dependable service that Granite Waterworks will bring to Core & Main will greatly amplify our capabilities and presence throughout Minnesota. Lee Supply is a leading specialty distributor and fabricator of high-density polyethylene pipe and other related services, including HDPE fusion equipment rentals and custom fabrication capabilities. For nearly 70 years, Lee Supply Company has been delivering innovative solutions and providing top-quality products to municipalities, contractors and other environmental and industrial customers. They operate out of 4 locations in Pennsylvania, South Carolina and West Virginia, primarily serving the Eastern United States. Their products and fabrication capabilities significantly enhance our HDPE product offering while providing our customers with additional expertise in fusible pipe applications. Each of these businesses offer expansion into new geographies, enhance our product lines and add key talent while aligning with our strategy of advancing reliable infrastructure across the U.S. Our pipeline of potential acquisitions remains robust, and we expect to continue adding and integrating businesses to support our growth. Given the fragmented nature of our industry and our modest market share, we have a significant opportunity to continue growing through acquisitions for many years to come. On Page 7, we highlight the value creation story we discussed at our recent Investor Day. Our long-term growth algorithm starts with our end markets. We have diversified end market exposure between municipal, non-residential and residential construction markets nationwide. We maintain a balanced mix of sales between new development and repair and replacement projects. Each of our end markets have grown in the low single-digit range historically. We expect the fundamental demographic trends and drivers of growth in our markets to continue. We expect multiyear tailwinds in the residential and nonresidential end markets. When coupled with healthy municipal budgets, and the potential for significant federal proceeds. We believe end market volume growth over the long term will be between 2% to 4% per year. We’ve also demonstrated a history of organic above-market volume growth, producing 3 points of market outperformance over the last 5 years. And we believe that our long runway of growth opportunities in underpenetrated geographies and underpenetrated product lines, coupled with our industry-leading capabilities and operational excellence will continue to drive organic above-market growth in the range of 2% to 4% annually. Our M&A pipeline is robust, we continue to acquire businesses in our highly fragmented markets through bolt-on and complementary acquisitions. We are confident we can continue to drive another 2% to 4% of annual net sales growth from M&A over the next several years. Collectively, our end markets, above-market growth capabilities and M&A strategy resulted in average annual net sales growth ranging from 6% to 12%. In terms of margins, we expect to continue executing on our private label, sourcing optimization and pricing analytics initiatives while leveraging our scale, productivity and operational excellence to drive 30 to 50 basis points of adjusted EBITDA margin expansion annually. We believe that our profitable growth, agile business model, and focus on efficiency will continue to generate strong operating cash flow at a rate of 60% to 70% of adjusted EBITDA, underpinned by a strong balance sheet to provide robust capital deployment. We are better positioned than any other distributor in our industry to capitalize on these growth levers, and we are excited about the opportunities ahead. As part of our Investor Day event, we released 5-year financial targets and provided additional details on the growth, profitability and cash flow initiatives we have in place to continue operating this business with success while driving shareholder value. I’d like to thank everyone who either attended in person or listen virtually. If you haven’t seen it yet, the replay is posted on the Investor Relations section of our website and I highly encourage you to watch it to get a deeper understanding of what makes our business so special and the opportunities that we have for long-term profitable growth. With that, I will now turn it over to Mark to discuss our financial results and full year outlook. Go ahead, Mark.
Mark Witkowski: Thanks, Steve, and good morning, everyone. Our third quarter results reflect our operational excellence and the resilience of our business model. We maintain a healthy balance sheet and are prudently deploying capital to the highest return opportunities. We’re leveraging our sustainable competitive advantages and financial position to drive future growth and value creation. I will cover a few topics with you this morning. First, I’ll recap our third quarter earnings, followed by an update on our cash flow and balance sheet highlights. Then I’ll provide our updated financial outlook for fiscal 2023 and a preliminary framework for fiscal 2024. I’ll begin on Page 9 with highlights of our third quarter earnings. We reported net sales of just over $1.8 billion for the quarter, which was just above the prior year period and consistent with our expectations. Price contribution was flat for the quarter while organic volumes were down low single digits. The cumulative effect of acquisitions over the past year contributed approximately 3 points of growth to net sales. Gross margin of 27% was 50 basis points lower than last year as inventory costs continue to catch up with current market prices. Our local teams have executed very well to sustain our margins by optimizing inventory levels, reacting with discipline to market prices and continuing to drive our gross margin initiatives. Selling, general and administrative expenses increased 4% to $240 million for the third quarter. The increase in SG&A reflects the impact of acquisitions and cost inflation. Interest expense was $20 million for the third quarter compared with $16 million in the prior year period. The increase was due to higher variable rates on the unhedged portion of our senior term loan. We recorded income tax expense of $39 million for the third quarter compared with $40 million in the prior year period, reflecting effective tax rates of 19.8% and 18.3%, respectively. The increase in effective tax rate was due to a decrease in partnership interests held by non-controlling interest holders. We recorded $158 million of net income in the third quarter compared with $178 million in the prior year period. The decrease was primarily due to lower operating income. Diluted earnings per share in the third quarter was $0.65, which was in line with the prior year period. Diluted earnings per share decreased due to lower net income, offset by lower share count following the share repurchase transactions executed throughout the year. Adjusted EBITDA decreased approximately 5% to $260 million, and adjusted EBITDA margin decreased 90 basis points to 14.2%. The decrease in adjusted EBITDA was due to the reduction in gross margin and the impact of cost inflation on SG&A. Turning to Page 10, we delivered excellent operating cash flow in the third quarter of $373 million, reflecting over 140% conversion from adjusted EBITDA. We continue to optimize inventory levels now that supply chains have improved. On a year-over-year basis, net inventory was down about $325 million or roughly 28%, even with higher product costs, inventory acquired through acquisitions and new inventory to support greenfields. We expect strong operating cash flow conversion again in the fourth quarter as we continue to optimize inventory levels and deliver a normal seasonal reduction of working capital. Net debt leverage at the end of the quarter was 1.5x, and our available liquidity stands at more than $1.3 billion, providing ample liquidity to continue investing in growth and returning capital to shareholders. The share repurchases we executed in September and November were done concurrently with public secondary offerings by our largest shareholder. As a result of these transactions, we retired 10 million shares while increasing our public float. As Steve mentioned earlier, we have deployed $770 million of capital for share repurchases so far this year, and we’ll continue to evaluate share repurchases as opportunities arise. Before we head to Q&A, I’d like to update you on our outlook for the remainder of fiscal 2023 on Page 11 and provide a preview of our views on fiscal 2024. Our sales results through the third quarter have largely played out as expected. Looking ahead, we expect normal seasonal volume trends in the fourth quarter, which tend to be impacted by colder weather and shorter daylight hours. Municipal repair and replacement activity in the fourth quarter is expected to remain stable on a year-over-year basis. We expect new residential lab development growth to improve sequentially and benefit from easier year-over-year comparisons. Furthermore, we expect nonresidential volumes in the fourth quarter to be flat to slightly down on a year-over-year basis, similar to what we experienced in the third quarter. Price contribution to net sales growth was flat in the third quarter, and we expect it to be roughly flat again in the fourth quarter, resulting in low single-digit price contribution for the full year. We expect additional gross margin normalization in the fourth quarter as we cycle through the rest of our low-cost inventory. However, we now expect full year gross margins to be better than previously anticipated due to strong performance across our margin initiatives and synergies from M&A. Taken all together, we are narrowing our expectation for fiscal 2023 net sales to be in the range of $6.65 billion to $6.75 billion. We’re raising our expectation for adjusted EBITDA to be in the range of $890 million to $910 million due to our margin performance in the third quarter as well as confidence in our ability to better sustain margins through the end of the year. We are also raising our expectation for operating cash flow conversion to be in the range of 110% to 115% of adjusted EBITDA and due to our disciplined inventory optimization efforts. As we look beyond this year, we plan to provide our full year outlook for fiscal 2024 during next quarter’s earnings call. However, as we sit here today, we generally expect end market volumes to be roughly flat to up low single digits depending on the broader economic conditions, including the effects of interest rate movements and progress on the federal infrastructure proceeds. We remain committed to our market outperformance driven by our organic and inorganic growth strategies. From a margin perspective, we anticipate further margin normalization that wasn’t fully realized this year to impact our results in the first half of fiscal 2024, while we continue to drive our margin initiatives to offset these impacts. Our focus will continue to be on the areas within our control, including customer service, technical expertise, productivity and pricing execution. We will continue deploying capital and initiatives that will result in accelerated growth including executing on our M&A pipeline and delivering on our organic growth strategies. We will maintain significant liquidity and expect to continue driving shareholder value through share repurchases or dividends. We are well positioned to outperform the market in this complex demand environment, creating value for all our stakeholders. We look forward to helping our customers build more reliable infrastructure as we close out fiscal 2023. At this time, I’d like to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Joe Ahlersmeyer from Deutsche Bank. Please go ahead.
Joe Ahlersmeyer: Yes. Thanks very much for taking my question and congrats on the strong results.
Steve LeClair: Thanks, Joe. Thanks for the question. Yes. We can hear you, now. Thanks.
Joe Ahlersmeyer: Hey, sure. Okay, great. Yes. Thanks a lot for the early insights into next year’s volumes flat to have low singles. That’s pretty good. I’m interested in just kind of getting into what the different thoughts are around the end markets, maybe at the low end of that and at the high end of that, kind of what you see R&R on resin and new res doing next year?
Mark Witkowski: Yes. Sure, Joe. Thanks for that question. And yes, we did – for 2024, we think overall, the end markets or this – at least at this point, looking to be kind of flat to low single digit. And as we talked about, our municipal base, which is roughly 40% or so of the business, we believe, is going to continue to be very stable going into next year in that kind of low single-digit range. We’re coming off a really weak residential year, as we’ve talked about on prior quarter’s calls. So we do expect some growth coming out of resi. Now that does assume that we do see mortgage rates in an environment where maybe those come down a little bit. Here is the Fed stabilizes some of the rate movements that they have been looking at. And then from a non-residential exposure, like we talked about, that’s a very broad exposure for us. And while there is different pockets within there, we believe that’s going to be flattish as we go into 2024.
Joe Ahlersmeyer: Understood. Thanks a lot for those detail. And then just thinking about the share repurchase commentary. I’m wondering, a year where going forward, M&A activity may be below your annual target in any given year, would you be sort of more programmatic about letting that excess capital flow to repurchases? Just kind of thinking about your philosophy around letting cash build and letting leverage come down.
Mark Witkowski: Yes, Joe, the way we’re thinking about capital deployment right now is, as you’ve seen, we’ve really generated some really strong cash flow here throughout 2023, expect 2024 and beyond to be really strong cash flow generation years for us. And with our current debt leverage at about 1.5x. So I believe that provides us ample capital to be able to deploy not only to M&A, which heard Steve talk about the healthy pipeline that we have, but also give us that opportunity to be opportunistic with share repurchases as opportunities arise there. And then beyond that, potentially being able to do dividends at some point in the future. So we’re going to look to do all those things to return capital to shareholders. We think those are all attractive opportunities for us, and we will continue to look at it that way.
Joe Ahlersmeyer: Alright. Thanks for all the detail. Goodluck in fourth quarter.
Steve LeClair: Yes. Thanks, Joe.
Operator: Our next question is from David Manthey from Baird. Please go ahead. Hello, David, your line is now open. Could please check and unmute. Unfortunately, we are not able to hear anything from David’s line. So we will move on to the next question. The next question comes from Kathryn Thompson at Thompson Research Group. Kathryn, please go ahead.
Kathryn Thompson: Hi, thank you for taking my question today. So looking forward into next year and thinking tagging on the question on M&A. First, could you give a little bit more color in terms of how the appetite may have changed for targets as you go into next year? What’s the difference? And how do you feel about M&A environment next year? And then have your priorities changed in terms of types of end markets given the changing landscape for mega projects? Thank you.
Steve LeClair: Hi, thanks, Kathryn. Yes, as we look at certainly the existing pipeline that we had and that we’ve executed on this year and what we’ve got in store as we look through in the future here, we really haven’t seen much of a change at all and what our appetite is. We continue to see great businesses out there across a broad spectrum, whether they are simple bolt-ons or getting us access to new products and new categories for us. So I think we will continue to build on that. And so we don’t really see a change in that in our appetite for that. And then – I’m sorry, can you give me your second part of that question again?
Kathryn Thompson: And it’s really how has the appetite changed? Or have there been any changes in terms of your targets in terms of being more or less open to M&A?
Steve LeClair: Yes. I would say that business environment – yes, the business environment, many of the sellers have operated in and many of our competitors have operating have been pretty challenging. So I would say we’re starting to see that break loose a little bit more. And certainly, if you look at the volume of deals that we’ve done this year, we think that’s pretty indicative of what we see in the pipeline ahead. We’ve been – if you look back over the last several years, it looks pretty consistent in terms of the amount of volume we’ve been able to do accretively to each year in that 2% to 4%. We’re certainly in the high end of at this point. And I think we continue to see that going into certainly ‘24 and beyond.
Kathryn Thompson: Okay. And then finally, we’re getting from – just based on our industry context, getting a wide range of feedback in terms of – on the non-res, in terms of cancellations or pushing out of projects. But in general, on your lighter non-res you are seeing some pushout or cancellations, but for large or not. What are you seeing in terms of project delays and/or cancellations in the more in the traditional non-res end market? Thank you.
Steve LeClair: Yes. We saw softness really continue in Q3, but we did see the volumes stabilize late in the quarter. If you look at a couple of the areas that have been very strong for us, we look at highways and street projects have been very robust while we’ve had some – had to offset, obviously, warehouse construction and multifamily has been softer than normal. But I think if you look at what a broad category that is for us with non-residential, it really gives us a lot of stability as we go forward. And we think we’re incredibly well positioned as we get into 2024.
Kathryn Thompson: Great. Thank you.
Steve LeClair: Thanks, Kathryn.
Operator: Our next question comes from Nigel Coe from Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning. Thanks for the question. Sneak another one on the back end of that. The unit cost of inventory…
Mark Witkowski: Nigel, you cut out on us. If you wouldn’t answering – or asking that question again.
Nigel Coe: Sure. Just on the inventory, good progress on working down inventory from where it was this time last year. How much of the to go on this inventory rebalancing process? I’ll ask a follow-up question.
Mark Witkowski: Yes. Great. Thanks for the question, Nigel. Yes, we heard you on that one. I appreciate the question. On inventory, I would tell you that we did make a lot of good progress in the third quarter on inventory. We’ve had, I’d say, some movement on certain product categories that’s really allowed us to work through a lot of the excess stock that we had what we were cushioning for some of the supply chain challenges. I’d say there is still a handful of product categories that we’re working down yet. I expect us to make continued progress in the fourth quarter. But as we’ve talked about, seasonally, volumes do come down in the fourth quarter. So it’s hard to say how much progress we will make against those remaining product categories as we wrap up this year. So I think we will make good progress, but there could be some of that that leaks into 2024 yet that we will continue to work to optimize.
Nigel Coe: Okay. So it sounds like there might be a slight tailwind in ‘24, but it looks like we’re in good shape. But then on the second part of that question is really around the cost of inventory and what I’m trying to get at here is, obviously, it seems like we’re getting close to the back end of the price cost sort of headwinds. I’m just curious if we’re now at the point now where we’re seeing the unit cost of inventory really stabilizing Q-over-Q at this point?
Mark Witkowski: Yes. Nigel, thanks for the question on that. Yes. I think similarly, as it relates to margins, the inventory is working similarly. I mean we have experienced some of that gross margin normalization across certain product categories that we’ve been able to really flush through and get current on. There is still a handful of categories that we’re still carrying some low-cost inventory and expect we will work through the remainder of that as we get into Q4 and into next year. So I still think there is a little bit of normalization that’s going to happen here. But we’ve been able to offset a lot of that. We’ve been – we’ve had some accretive M&A come through here in 2023. We’ve been able to deliver synergies on top of that at the gross margin level and then frankly, made a lot of really good progress on some of our gross margin initiatives, especially here in the third quarter. So those are some areas we will continue to work to offset that normalization, but I do expect some of that to continue here into Q4 and into the first half of 2024.
Nigel Coe: Okay. I will leave it there. Thank you.
Mark Witkowski: Yes. Thanks, Nigel.
Operator: Our next question is from Anthony Pettinari from Citigroup. Please go ahead.
Asher Sohnen: Hi, this is Asher Sohnen on for Anthony. Thanks for taking my question. You talked about volumes flat to up low single digit in 2024. But I was just wondering if you could share your outlook maybe for price in 2024, at least directionally. And if you’ve announced or planning any kind of pricing actions?
Mark Witkowski: Yes. We continue to watch the price, obviously, in the current market and spend a lot of time talking to our suppliers about what their plans are going forward. And at this point, we’re – as we look into ‘24, we’re really assuming a neutral price environment. So we could see some ups and downs in any particular product category there, but really believe overall, from a price contribution standpoint, it should be really a neutral environment into 2024. But we will provide some more color on that as we get into next quarter’s earnings call and whether or not we see any other price movements, especially as we roll into the early part of 2024.
Asher Sohnen: Got it. That’s super helpful. And then just another one. Can you provide maybe an update around what you’re seeing in terms of IIJA spending flow through to your end markets? Your expectations around that for 2024, and maybe how that plays into your volume framework for 2024.
Steve LeClair: Yes. Thanks. The IIJA funds have certainly been slower than we would have liked or anticipated as we’ve gotten into the back half of this year. What I would say is that we’re starting to see some green shoots in this, particularly in the upper Midwest. There is a couple of states that started to see projects BrinkLoose and actually funding go through, particularly in Michigan, Wisconsin and the Dakotas, there is been some projects that have been utilizing that funding. So we’re really anticipating that we will see some more volume start to BrinkLoose in 2024, and that should be some tailwind for us on the municipal side.
Asher Sohnen: Thanks, that’s very helpful. I will turn it over.
Steve LeClair: Thank you.
Operator: Our next question is from Joe Ritchie from Goldman Sachs. Please go ahead.
Vivek Srivastava: Hi, this is Vivek Srivastava on for Joe. And thank you for the question. Maybe just starting with gross margins. Your gross margin performance has been pretty impressive for the last few quarters. And just wanted to understand how much are synergies contributing? Particularly after you close the deal, when do you start realizing some of those gross margin synergies?
Mark Witkowski: Yes. Thanks, Vivek, for the question. As we talked about, we expected some gross margin normalization throughout 2023, kind of in that 100 to 150 basis points range. And we did definitely experience some of that pressure on some of these product categories like I’ve talked about that we’ve flushed through that lower cost inventory. And really, the offsets that we’ve seen there have been, as you mentioned, some of the accretive M&A, which has also brought some synergy with it. I’d say probably more so just given the timing of some of those acquisitions, more of it’s just been the accretive nature of it. There is some work that we will do yet to deliver on some of those synergies to drive some more of the gross margin improvement. And then I would say a lot of good progress in the quarter and some of our sourcing optimization work that’s brought in some nice over-performance, more so than I would say, we were expecting in the third quarter. So, those are really the elements of it. In terms of breaking them all out specifically, we are not necessarily going to do that, but I did want to give you some additional color there on what some of those drivers are.
Vivek Srivastava: That’s helpful. Thanks for that. And just on the SG&A front, it looks like last four quarters, your SG&A has been growing faster than the revenue growth. How long can this trend continue? And when do you expect it to normalize?
Mark Witkowski: Yes, sure. As it relates to SG&A, there is really a handful of factors in there. I would say some of these M&A acquisitions that we have done, while they brought us higher gross margins, many of those also have had a little higher SG&A base. So, that’s put a little more pressure on SG&A. And then I would say some of the cost inflation of SG&A has trailed some of the product cost inflation that we have seen. So, there is still a little bit more, I think the flow-through from an SG&A perspective. And then we have made a handful of, I would say, growth investments that have been SG&A impacting into the results. So, I am expecting some more SG&A pressure in Q4. And I think normally, we would expect some SG&A productivity for a full year in 2024. But just given the timing of the M&A that I talked about and some of these investments, we are probably going to see a little bit more pressure as we look out throughout 2024, but those are really the drivers of it.
Vivek Srivastava: Great. Thanks.
Mark Witkowski: Yes. Thank you.
Operator: Our next question is from Ryan Connors from Northcoast Research. Please go ahead.
Ryan Connors: Great. Thanks for taking my question. I wanted to ask about the private label side and if you can give us an update on your progress there. It looks like Enviroscape is a private label deal. And also, I assume the greenfields help you to accelerate that somewhat. So, you have talked about going from 2% to 10% private label. Can you talk about where – like if we are 12 months from now, kind of ‘24, what the vision is, does some of these things move the needle and we are – what inning are we going to be in as we move through ‘24? Is it a material improvement from the 2%?
Steve LeClair: Yes. Ryan, this is Steve. So, I appreciate the question. Yes, certainly, Enviroscape has some private label content to it for our geosynthetics business for sure. As we look at how we expand that, there is just a broad assortment of products and accessories out there that we have been able to develop beyond certainly geosynthetics, but when we get into other accessory kits and things along those lines. So, we will continue to do that. The long-term plan we had was getting into this 10%-plus in terms of private label. So, we will be making investments and we will continue to enhance that performance through next year. We will have a little bit more color to share on that as we wrap up the year-end.
Ryan Connors: Got it. Okay. And then my other question was on specific line, which is water metering and AMI. Any – can you give us any update on what you are seeing there, both in terms of the near-term demand cadence and also M&A, it seems like metering was more of an M&A focus a few years ago, but kind of the recent deal flow doesn’t seem like metering has really been as much of a part of that. So, is that – just curious whether that’s intentional or whether that’s just a function of what’s for sale out there?
Steve LeClair: Yes. If you look at our quarterly results that we had, meter was an incredibly strong quarter. And a lot of that was backlog that we have had for projects that were executed where now we are starting to see that supply chain ease up with a couple of our key manufacturers and getting that product out to go execute. Bidding activity remains incredibly strong. You are certainly seeing where AMI and advanced metering has become much more broadly accepted and we play a key role in helping to get that out to those customers, whether they are small rural customers looking at AMI systems or even some of the large metropolitan areas. So, we continue to see really a lot of strength in that end market. From an M&A perspective, we did a couple of acquisitions early on to get access to certain lines. As we look across the country right now, we certainly have coverage of many different lines all across the country at this point. So, from an M&A perspective, you may not see a whole lot of activity in that as we feel pretty secure with the access to the products that we have got across the broad portion of the country.
Ryan Connors: Got it. Very helpful. Thanks for your time this morning.
Steve LeClair: Thanks Ryan.
Operator: Our next question comes from David Manthey from Baird. Please go ahead.
David Manthey: Yes. Thank you. Good morning guys.
Steve LeClair: Good morning.
David Manthey: Mark, flat to up low-single digits, just so understanding that clearly, I believe you are talking about market volume growth there. And if you could just give us a little bit of color in terms of what informs that outlook, understanding it’s preliminary, but is this discussion with your larger builders, some visibility in the municipalities’ fiscal year budgets? How do you build that up?
Mark Witkowski: Yes. Dave, thanks for the question. So, we got you back. Yes, as we look out into 2024, Dave, it’s really all those factors. We look at large amount of external data sources, which is important for us. But we have a large volume of internal data that we look at from bidding activity that’s likely to produce results into 2024 and then a lot of discussion with our local teams that are looking at and talking to their customers about what to expect for 2024 and then obviously, also comparing those expectations relative to the numbers that have flown through in 2023. So, it’s a lot of different sources that we are looking at there. I would say we always place the most reliance on the internal data that we get from our teams and that we track, which really helps inform us for like we talked about, at least at this stage, what to expect for 2024, but we do plan to update everybody on that in our call here for the full year of ‘23 on next quarter’s call.
David Manthey: Got it. Thank you. And second, a little bit more of a broad question here. Could you talk about technology and how important that is relative to your long-term outgrowth versus your competition?
Mark Witkowski: Yes. I would say from a technology standpoint, a major driver of our business is productivity and effectiveness of quoting our customers. That’s really the starting point. We had laid out a lot of that technology in our Investor Day presentation. And then we have a number of tools available for our customers to really drive some stickiness from our perspective with those customers that just make it easy to do business with us. I would say less so from a driver of revenue growth or e-commerce related. While we have capabilities for that, that’s really not a driver of majority of the revenue that we have as a company. So, really I think as it relates to being more productive, getting in front of our customers faster than our competitors and then having technology that drives stickiness with tools like online advantage and others that really provide that stickiness is how we think about it from a technology perspective.
David Manthey: Perfect. Thank you.
Steve LeClair: Alright. Thanks Dave.
Operator: Our next question comes from Andrew Obin of Bank of America. Please go ahead.
David Ridley-Lane: Hi. This is David Ridley-Lane on for Andrew Obin. At the Investor Day, the slide on the bridge to the 15% EBITDA margin goal included a 30 basis point decline in fiscal ‘24, given some of the gross margin normalization, given you are raising fiscal ‘23 EBITDA margin by about 55 basis points, should we think about that as being more like an 80 basis points to 90 basis points decline in ‘24, or are some of these margin improvements, sustainable, i.e., is this sort of a timing impact, or have you been sustainably outperforming your plan on gross margin?
Steve LeClair: Yes. David, thanks for the question on that. I would say we have definitely been pleasantly surprised with the gross margin performance throughout 2023 and definitely, the pricing stability that we have seen in the market has helped drive some of that. So, while we are seeing some low-cost inventory catch up with market prices, stability of pricing, I would say, has provided better results than we had anticipated early on when we kind of laid out the gross margin normalization. There is still risk and we will watch that while prices are stable, that can put some pressure on margins. So, we are still guiding towards gross margin normalization in Q4 and some of that spilling into 2024. But if we can keep executing on our gross margin initiatives, we are going to be in a good position to offset as much of that as we can and hopefully minimize what that impact looks like in these out years.
David Ridley-Lane: Got it. I mean I guess another way of asking it, you have talked, I think in the past about 100 basis points to 150 basis points of one-time gross margin benefit. Are you thinking now more closely to the 100 basis point piece of that range?
Steve LeClair: Yes. David, I have just said, I think with the pricing stability that’s resulting in better margins than we had anticipated. I wouldn’t say we are ready to update range yet of expectations, but definitely something that will be a focus as we lay out our kind of more detailed planning for 2024 on next quarter’s call. But I think you can gauge from my comments that at this point, we are pleasantly surprised with how that’s come in here for 2023.
David Ridley-Lane: And if I could sneak one more in, you did mention sourcing optimization has been helpful. I am just thinking all you, your peers, everyone is destocking. So, I am wondering if some of the benefit there is suppliers, have suppliers offered any incentive to take product, right, because if all the distributors are destocking, the suppliers are seeing lower orders, right? So, are you seeing any of that kind of incentive activity?
Mark Witkowski: Yes. I would say as we think about sourcing optimization and the benefits we saw there, definitely going into a year where we were reducing inventory pretty significantly, and you have seen our inventory come way down. We do have certain volume incentive tiers with suppliers, and we kind of think about it as getting spend into the most preferred programs and getting into the right buckets. And as we started the year, I think we had some concerns that we could really achieve all of the benefits there that our suppliers provide us just given the reductions in volume. But I think the – our sourcing teams have really done a great job of getting the spend in the right buckets, and that’s driven some better margin performance than we had anticipated.
David Ridley-Lane: Thank you very much.
Mark Witkowski: Alright. Thank you.
Operator: Our next question comes from Patrick Baumann from JPMorgan. Please go ahead.
Patrick Baumann: Hi. Thanks for taking my question. Sorry, I missed some of the call. But did you provide any update on kind of what you are seeing from a non-res perspective in terms of multifamily. I know that, that was the reason why you tweaked down your outlook, maybe that was a quarter ago from a top line perspective. So, wondering if you have an update on what you are seeing in terms of starts activity in specific verticals like multifamily?
Steve LeClair: Yes. Patrick, this is Steve. Yes. We definitely saw softness coming into Q3, and we saw it stabilize as we got into the back half of the quarter. So, multifamily was challenging as was warehousing, but really started to see some good growth in highways and projects. And so when we looked out across the whole spectrum that what we cover particularly if we look at some of these big mega projects, we really saw that stabilize towards the back half of the quarter, and we are pretty pleased with kind of how that came in.
Patrick Baumann: Okay. And then the ‘24 outlook there, you had – you described, I am just looking at notes that someone sent me it’s kind of flattish for non-res. Is that the way you are describing ‘24?
Mark Witkowski: Yes, I would say we provided a range of market for 2024, kind of saying flat to up low-single digit. I think on the low end of that, it’s probably down a little, on the high end of that is probably flattish in that range.
Patrick Baumann: That’s non-res? That’s total, I guess?
Mark Witkowski: Non-res. Overall market would be flat to up low-single digit.
Patrick Baumann: Got it. Thank you. Sorry for having to rehash that. And then in terms of – not to beat the dead horse on the gross margin dynamic, but – so 27% or so in 2022 and like year-to-date, similar to that has been the level that you have been able to achieve. So, you are still – so you are not ready to update kind of that 100 basis point to 150 basis point of drag. So, potentially – so we should, for lack of an update, kind of assume that, that is – that’s a reasonable base case to think about for gross margin in terms of drag from that? And then maybe some offset will come from your initiatives, but something down in the 100 basis points in terms of gross margin next year is kind of like reasonable base case, is that fair?
Mark Witkowski: Probably the way I would think about it is we have experienced some of that gross margin normalization in 2023, which we have been able to offset and we will experience some of that into 2024. So, it kind of gets split period-over-period. So, it’s probably not the full amount into 2024, but that’s the piece we do plan to provide, obviously, a lot more guidance on as we get into our full year release for ‘24. But that’s the way we are thinking about it right now is we definitely know we have experienced some of it, a lot of which we have been able to offset and likely to experience the balance of it in 2024, but it’s probably not a full year impact of it.
Patrick Baumann: Okay. That’s different than I interpreted it. So, I appreciate the color there. Thanks a lot and best of luck.
Steve LeClair: Sure. Alright. Thank you.
Operator: We have no further questions on the call. So, I will hand back to Steve LeClair for closing remarks.
Steve LeClair: Thank you all again for joining us today. It was a pleasure to have you on the call. Our consistent execution quarter-after-quarter is a result of the hard work of our branches and functional support teams, our focus on operational excellence, and the diversity of our products and end markets. We have more levers than ever for driving growth and profitability, the cash flow generation to capitalize on it and the team to execute on it. Thank you for your interest in Core & Main. Operator, that concludes our call.
Operator: Thank you all for joining today’s conference call. You may now disconnect your lines.